Operator: Dear ladies and gentlemen, welcome to the conference call of HelloFresh SE. At our customer’s request, this conference will be recorded. As a reminder, all participants will be in a listen-only mode. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] May I now hand you over to Dominik Richter, CEO of HelloFresh, who will lead you through this conference. Please go ahead.
Dominik Richter: Good morning, ladies and gentlemen. Welcome to our First Quarter 2022 Earnings Presentation. In the next couple of minutes, we will cover our most recent first-quarter results, show some additional proof points while we continue to be really excited about our growth prospects going forward. And we'll obviously give you the opportunity to ask questions in our Q&A section. By almost any measure. HelloFresh is today a much stronger company than we were, six or twelve months ago. We've just come off the biggest revenue quarter ever, we've continued to grow significantly higher, and quasi any other e-commerce player coming out of COVID and aligning the strengths of the business model, as well as our team's stellar execution. The unique characteristics of our business model has been proven over and over again, over the last 17 quarters since we went public. We have incredibly high customer lifetime values. very strong repeat purchase behavior, very low competition, and switching going on in our industry, and the best retention profiles in e-commerce. Existing customers continue to see more value in our products.  They spend more than ever with us, stay longer, and are happier with the meals that we sell, as is evidenced by the meal ratings that we collect from our customers. This is largely due to the fact that we have continued to build our proposition with competitive pricing, great relative affordability, and a significant range expansion in all markets. Also, our fulfillment center build-out is progressing really well. We're on track to fully launch what we had anticipated at the beginning of the year, and that will give us runway to hit our 10 billion 10% AEBITDA target by -- in the next couple of years. Despite all of the investments and our most recent share buyback, we have funds of close to €800 million on the balance sheet to directly and the new revolving credit facility of an additional €400 million available, so giving us access to around about €1.2 billion in cash.  Temporarily, we're also subject to higher input costs along our supply chain like every other business with a physical supply chain. But given our market position, the strong operational cash flow generation and great affordability to consumers, we strongly believe that our current investment strategy will pay off very handsomely in the mid-term, making us a stronger business and allowing us to pull away even further from direct and indirect competition, which is arguably impacted much more than we are from the current and temporary supply chain disruptions and cost pressures. With that in mind, I'd like to provide you with the numbers underlying my confidence, and first, turning my attention to the highlights of the first quarter 2022. First off, we've grown our revenues significantly 26.4% year-over-year in constant currency growth and it reached over €1.9 billion for the first quarter. That's the highest revenue quarter that we ever had. It's also been a landmark quarter for our U.S. segment, which has actually achieved over €1 billion in revenue for the first time in one single quarter. That strong revenue performance was driven by the strong performance of the underlying KPIs. So active customers are up 1.24 million year-over-year retention -- order rates are at very high levels, stabilizing, and our AOV has also increased by about 6.5% at constant currency levels.  We have achieved a solid adjusted AEBITDA margin of over €99 million just shy of €100 million with a group margin of 5.2% higher than what we had anticipated and expected at the beginning of the year. We also have a strong closing cash position of close to $800 million despite our share buyback, despite paying the first tranche of the Factor75 earn-outs during the quarter, and despite the fact that we continued to invest heavily into our performance center build-out. On top of the financial numbers, we've also released our sustainability and non-financial report very recently, and this report has confirmed a number of the structural benefits that we actually have in our supply chain as compared to procuring and cooking your foods via traditional ways. It has shown that there is about 20 to 25% less carbon 2 emissions along the whole supply chain when procuring your food with HelloFresh and cooking our recipes.  Now, before I turn to our revenue numbers, let me very quickly cover our performance versus a basket of other so-called COVID winners. So the structural benefits are not only in our supply chain when it comes to sustainability, but they have also -- the structural benefits have also allowed us to sustain our growth post COVID at much higher level than most other e-commerce companies out there. Compared to pre - COVID, we have tripled our revenues. We continue to expect robust growth also in 2022. In every single quarter after the massive growth, we have to clipped during the last two years.  This is for HelloFresh due to the high share of revenues that has generated by our loyal customer base and the corresponding high industry-leading revenue retention rates across e-commerce businesses. It also helped by the fact that cooking at home is a very sticky category that shows great appeal, not only in times of lockdowns, but also in normal times. So as a matter of fact, about 50% of dinners pre - COVID for cooked and consumed at home in the U.S., around two-thirds of dinners in our international markets for cooked and consumed at home. And this is a category that is here to stay.  It's the most common way to prepare [Indiscernible]. And I think with HelloFresh, we're one of the biggest innovations that has happened to cooking at home. Due to more work from home happening than ever, now, post-pandemic, and also lots of its anticipated to stay for the foreseeable future. Do you think a lot of that behavioral change in structural shift is going to be permanent? And the respective gain and share versus out-of-home is here to stay at much higher levels than pre -pandemic. Let's look at our active customers and the growth that we've seen in the first quarter compared to last year's period. We've increased our customer base by about 17% year-on-year to 8.52 million in the first quarter, which is always earmarked by being one of the best quarters where we actually spent a lot of our marketing firepower to attract new customers in times when they stay home a lot. The growth was driven by both segments. Our international customer base is up year-on-year by about 19%. Our U.S. customer base is up over 15% year-over-year. And if you look at the year-over-2-year numbers, you can see that we've more than doubled our customer base over that period. Not only our customer numbers have grown significantly, but we've also managed to stabilize our order rates at the very high level of four orders per quarter. That is significantly higher than the 3.5 orders that we've had two years ago.  In detail, it's over 14% higher than where we were two years ago. And I think this is very much due to the fact, that we have increased the attractiveness of our product portfolio very significantly. Let's come to our average order value, our basket size. Whether our basket size has increased by 6.5% in constant currency year-over-year, it's even a 16% increase on a year-over-two-year basis, and the increases were driven by 1. the larger number of meals per order; 2. the rollout of our HelloFresh market; and 3. the selected price increases that we've undertaken predominantly in the U.S. Within our international business, there were some small selective price increases, but the overall year-over-year number suffers a little bit from some mix effects, some countries with smaller baskets growing faster than other markets, but the underlying trend is the same within each market. Looking at it in an isolated view, we're able to increase AOV, and basically each and every market that we're operating in. For Q1 on an absolute level, basket size has been over €55. That's a record high in our history. And I think a testament to the facts that customers continue to see increasing value in our operations.  Despite emerging from the pandemic, we continue to increase the customer value that we actually clipped from our cohorts through improved monetization and a lot of product innovation. Based on the higher AOV and the continuously high order rates, we now achieved meaningfully higher lifetime revenue per cohort than what we did two or three years ago. The chart here is actually based on credit card data in the U.S., not only our own internal numbers. So it's credit card data that you can also track for yourself and against direct and indirect competitors. The improvements that we've always seen pre -pandemic has mostly been coming from smaller but continuous order rate increases. And those order rate increases in themselves are very powerful when they compound over time. But then since last year, also our AOV has started to significantly contribute to better monetization of our customer cohorts. And so as of today, looking at the last year or two year cohorts, meaningfully better monetize the customers that we have, and we now clip the highest customer lifetime values and the highest customer lifetime revenues than we ever have in HelloFresh history. Coming out of COVID, we don't really see any adverse forces. That would mean that our cohort lifetime revenue should actually decrease, and this is something that I think will be a major contributor to our growth going forward.  Now, why do we think that actually from the levels that we have right now in terms of cohort lifetime revenue, we can further improve? It's due to the fact that we think that we have a very exciting product road map on the horizon. We've not only built out our product portfolio over the last two years, also at a little slower speed than what we would have liked to do, given that we were operating under a lot of capacity constraints, but now in 2022, this is something that has moved up the agenda quite significantly. And today, there are actually three things that I want to talk about and that we're really excited about, which is the menu size expansion, the rollout of HelloFresh Market and the recipe personalization. With the vast amounts of data that we collect from our customers, we always use those -- use that data to improve our product portfolio, and so, if you look at the menu size and over the course of the year, we want to add over a 100 additional unique recipe slots across the group on a weekly basis. That's a 20% to 25% increase in our product offering and in our menu size. year-over-year. So significantly making the product more attractive to customers, we'll then be able to find meals that are a better fit for them and we'll probably also encourage them to add more meals to their overall basket.  The second thing that we're really excited about is the roll-out of HelloFresh markets. We're in the process of expanding it to 100% of our U.S. customers after having launched it towards the back-end of last year, and we will launch our HelloFresh market in three additional international markets in addition to being like in Benelux now for over a year, to be exact, about 15 months. Finally, we've also made a lot of investments within our fulfillment center capacity within our technology, within our procurement operations that now allows us to meaningfully invest into recipe personalization. So over the course of the year, with a high focus on the second half of the year, about 50% of our menu and our recipes will become customizable.  This is something that we think will encourage users to take up more meals and will also encourage them to order more often with us because very often what we hear from customers today, is that there are some meals which look really attractive to them. But because of dietary restrictions or because of one ingredient that they don't like, they're actually not putting that into their basket. We've tested all three of those strategies many times before. That's why we have not only positive data -- positive indicative data for all three in our testing period, but also quite high confidence in the success of those strategies. And all three should help us to further improve and order rates, leading to higher cohort's lifetime revenues.  Now, coming back to the most recent quarter. You can see some of those trends and that just described around customer growth around AOV, around order rates, shaping up very nicely already. And contributing to a very strong first-quarter. The long-term trends of investing in our products have already yielded great impact, even though most of the material impacts will only show up in our H2 numbers as we go towards the second half of the year. U.S. has in Q1 achieved for the first-time revenues of over €1 billion per quarter, a 28% growth year-over-year. Whereas our international business has actually grown by about 25% year-over-year, also a strong performance coming off of COVID comps. And overall, our growth amounted to over 26% in constant currency, and around 33% non FX -adjusted. If you look over the year-over-2-year number, you once again see the great scaling performance that the team has executed. It is no small feat by any means to grow revenues by over 173% in two years, when you ship a perishable product through a highly time-sensitive supply chain all across the globe. I think we're quite proud of the team and how they've executed on that. With that I'll hand over to Christian to cover our margin trends as well as the outlook for the remainder of the year.
Christian Gaertner: All right. Great. Thank you, Dominic. So let's turn first to the development of our contribution margin. In Q1 2022, we achieved a contribution margin of 25.2%. This is down three percentage points from the same period last year due to the factors that we had discussed previously. Namely, an increase in procurement expenses, which came out at a margin impact of Northpoint, 7% in the first quarter, secondly, a continuation of the ramp up of capacity of new markets and new brands, and then thirdly, in some inflationary headwinds in other areas such as production wage increases, which we implemented at the back-end of last year, and fuel surcharges. Now having said that, against these headwinds, the 25.2% contribution margin is actually quite strong and better than what we had originally targeted for Q1. How did we achieve this? Firstly, we already start to realize productivity improvements in recently launched fulfillment centers such as in the U.S. and in the UK. This drove us expansion improvement in productivity expenses -- in production expenses already compared to Q4 2021, i.e. our productivity increased sequentially versus the prior quarter. Secondly, we managed to contain cost inflation in Q1 better in certain key markets than originally planned.  This out-performance on contribution margin in Q1 is the key driver why Q1 adjusted EBITDA has come out somewhat better than originally targeted. Next, let's turn to our marketing spend. Our marketing spends in Q1 came in very much in line with previous guidance with 17.6% of revenue. As you know, in a business ' usual environment, Q1 is the most important quarter for us to increase our customer base. We have achieved this by adding 1.3 million new customers in the quarter. And we did this with customer acquisition costs, which were similar to what we have seen in the back end of last year. Let's also have a quick look at the development of price incentives we have given to new customers.  This is something we've been asked for a few times recently by investors. So what we try to plot here is the development of price incentives as percentage of gross revenue over time. As you may remember from our last Capital Markets Day, we primarily grant price incentives to new and reactivated customers, typically spread over the first three to four deliveries on a decreasing scale. So what you should take away from this chart are really two things. 1. Price incentives as a percentage of revenue increase seasonally in periods where we acquire a lot of new customers, i.e, typically in Q1. And secondly, Q1 2022 is really middle-of-the-road compared to prior periods, i.e., we have not meaningfully shifted our attitude to price incentives compared to the cost. The fact that our price incentives in Q1 were not out of the ordinary, also by the way, evidenced by our continuously increasing average order value, which is already net of any discounts. With that, let's come to our EBITDA. When you combine a somewhat better than expected contribution margin and in-line marketing spend, you will see that we have started the year with a solid EBITDA.  We have achieved an EBITDA just shy of €100 million, corresponding to a margin of 5.2%, i.e, somewhat better in the 3.5% indicatively targeted at the beginning of the year. As discussed earlier, drivers for that outperformance were better performance in caulks and somewhat better than anticipated productivity increases. This means for Q2, we made -- put a bit of that buffer that we've created in Q1, bake into marketing in Q2. If we see the opportunity for incremental profitable growth spend, I get back to that point in a few minutes. But before that, let's have a look at the development of our cash flows and liquidity position. We have delivered a very strong cash flow from operations of €198 million in Q1, primarily driven by our EBITDA of €99 million, and seasonal inflow from working capital of €120 million. We have maintained our cash position at a very healthy €796 million at the end of the quarter despite investing €66 million into CapEx, spending €125 million on buying back stock, and paying €25 million for the first tranche of the earn-out for the Factor acquisition.  On top of our strong organic cash flow generation, our strong cash position and the largely unlevered balance sheet, if also, as Dominic alluded to earlier, further strengthened in April, the external financing sources available to us. We have extended the maturity of our revolving credit facility to 2027, and we have increased the size of that facility to €400 million. This facility is largely undrawn, i.e., it provides backup liquidity to us. This means that available liquidity to us is round about €1.2 billion, a cash balance of approximately €800 million in the largely undrawn revolving credit facility of €400 million. Okay. With that, let's turn to our outlook. We would like to reiterate our outlook for the full year, i.e. we continue to target constant currency revenue growth of 20% to 26% and an absolute EBITDA of €500 million to €580 million. For Q2, we indicatively target constant currency revenue growth of mid-to-high teens, given the March through end of May period is probably the toughest period with respect to the prior-year benchmark.  Even against this heavily COVID -impacted periods, we expect very healthy growth of mid-to-high teens, given the repeat purchase model that we have. The half-term, i.e. in H2, we expect year-on-year constant currency growth of 20% in the buff again when also the comparative period is less COVID -affected. At current FX rates, this would translate into an absolute revenue in Q2 broadly in line with what we delivered for Q1. From a contribution margin perspective, we're also expecting Q2 at similar level as in Q1. With further food price inflation and seasonally higher packaging expenses, I expect it to be largely offset by further productivity improvements and selective price increases, which as they are flowing through.  Given we have somewhat outperformed our EBITDA target in Q1, we may put some of that outperformance into incremental gross spend in Q2, i.e. marketing as percentage of revenue will still be lower in Q2 than in Q1, but potentially slightly less than initially targeted. Overall, we consider current consensus expectation as reasonable, another plus for both Q2 as well as the full year. Now. all of this obviously comes with some caveats, namely, we're still only at the beginning of Q2. And secondly, there are a number of external uncertainties out there including accelerating food price inflation and heightened overall macro uncertainty. With that, we look forward to opening up the Q&A.
Operator: Thank you. We will now begin our question-and-answer session. If you have a question for our speakers [Operator Instructions] Once the name has been announced, you can ask a question. If you find your questions answered before it's your turn to speak [Operator Instructions] If you're using speaker equipment today, please lift the handset before making your selection. In the interest of allowing all interested participants time to speak, questions will be limited to one per ton. [Operator Instructions] We have a first question, it's from Fabienne Caron of Kepler Cheuvreux. The line is now open for you.
Fabienne Caron: Yes. Good morning, everyone. My question would be, Christian, you remember when you gave us the guidance for the full-year, the 200 basis point EBITDA. Decline was made of minus 250 basis point for gross margin and minus 50 basis point for SG&A, where [Indiscernible] would be a flat, given the fact that what's happening in Q1 with better gross margin. Do you see the same structure for the full year on average or has it changed?
Dominik Richter: It's broadly them -- them -- the same structure with a bit of variance based on extern -- externalities that -- that you may see. What's the -- the most important, is that we are doing well on the net level that comes out all of this. I either contribution margin itself, where we had guided, and the capital markets dates will be slightly down year-over-year, and we came in now in Q1. Already at a touch north of 25%, i.e., is somewhat better-than-expected. So the board split in terms of headwinds still applies. But obviously, as we seeing -- see things shaping out, we may see opportunity to outperform a little bit on some cost line items to offset bigger pressure that we see on other cost line items as we even -- as we get along with them. If they ballpark, 25% for the year is still what we're targeting and we're doing better after Q1.
Fabienne Caron: Okay. Thank you.
Operator: The next question is by Nizla Naizer of Deutsche Bank. The line is now open for you.
Nizla Naizer: Thanks. My question is around the price increases that you’re doing to sort of help mitigate the impact of rising food inflation. How large were the price increases across the group in Q1, and will you continue this trend over the next few quarters? How are you thinking about price increases as a way to counter the rising cost of your ingredients?
Christian Gaertner: It's Christian here. So impact in Q1 was a touch below 5%. Our approach to price increases hasn't changed to what we had discussed in the past, i.e. we are constantly testing price elasticities in terms of tweaking certain parameters of all-in price and where we see it makes sense. We fall off [Indiscernible] in somewhat obviously, also impacted by what we see on the other side, on the cost side, with respect to food price inflation.
Nizla Naizer: What sort of food price inflation are you seeing Christian, just on that?
Christian Gaertner: So some of the moving target, but for the full year across the group, we are expecting something of round about 10%
Nizla Naizer: Thank you.
Operator: The next question is by William Woods of Bernstein. The line is now open for you.
William Woods: When back in full-year results, you guided to around 3% to 3.5% Q1 EBITDA margins, but obviously achieved about a 150 basis points more than that, driven by contribution margin, it looks like the fulfillment cost, particularly in the U.S. Are you able to disclose what changed in the months after full-year to make this change and what is it driven by? Is it by delayed fulfillment -- fulfillment center investments? Thanks.
Christian Gaertner: Hey, William, it's Christian. It's really driven by two things. 1. Better performance on the cost side, i.e., we managed to hold onto pricing and if a delay the impact of food price inflation for longer than initially anticipated. That applies to a certain degree to both segments, but especially to our U.S. segment. And then, the second one is really more on the productivity side. So we managed to decrease production expenses sequentially somewhat faster than initially planned and have contributed as well too that contribution margin outperformance versus our initial target, but we have not delayed or slowed down on any of our capacity expansion.
William Woods: Great. And just what was -- what drove the expense to decline?
Dominik Richter: Exactly what I just mentioned; higher productivity levels, i.e less production costs per box.
William Woods: Okay. Thank you.
Operator: The next question is, by Clement Genelot of Bryan Garnier. The line is now open for you.
Clement Genelot: Hey, good morning. Only once on my side. To what extent -- due to what extent -- you said you already adjusted your recipes in Q1 in order to mitigate magnification. And to what extent do you do it again throughout the year? Thank you.
Dominik Richter: We haven't made big strategic moves with regards to value engineering, we think providing great value and great recipes to our customers as a major driver of demand. What we sometimes do, which we've also done in the past when there were ingredient shortages, for example, is that we replace certain ingredients that have been inflating faster than others. But this is like limited to really making sure that we're not basically decreasing the customer value proposition that we have. So we've done that selectively, but this is something that has also happened in earlier years when I think two years ago, there was the zucchini crisis or other things where you couldn't get like certain vegetables, certain proteins, etc. But this is more business as usual for us and this time we used some of those tactics to also replace very small select amount of ingredients, given that we are on top of the menu.
Clement Genelot: Understood. Thanks.
Operator: The next question is by Michael Stephen of JP Morgan. The line is now open for you.
Mark Stiefel: Hi everyone. Very strong customer number. I know you don't care to split between gross and net additions, but could you comment on the direction here. I mean, is the number driven by better retention of existing customers, a higher share of reactivations in gross additions? Or is it just more, more customers through coming through the funnel? That would be interesting and if you can just update us on the number. What would you say in the U.S. how many customers have, as of Q1 actually tried HelloFresh? That would be very interesting. Thank you.
Dominik Richter: So with regards to growth additions, net additions, and what actually drove the strong customer numbers in Q1, I would say retention rates are stabilizing at very high levels, at higher levels than they were in the previous year. And both gross additions and net additions came in very much according to plan. So I think no big surprises on that end. We've been very disciplined in our marketing spend, great cost controls on overall customer acquisition costs, and managed well against the budget, and well against the targets that we had in mind. And that's positive tailwinds from the fact that customers continued to order at very high rates with us.
Mark Stiefel: Okay. Perfect. Could you give us the number or a question roughly on how many customers have tried HelloFresh in the U.S. so far? Only if you have it.
Dominik Richter: It's not a number that we track on a weekly basis. I don't have it on top of mind. Also, one question only, Marco.
Mark Stiefel: Okay.
Operator: The next question is by Miriam Josiah of Morgan Stanley. The line is now open for you.
Miriam Josiah: Great. Morning, everyone. Thanks for taking my question. Just one on the average order sizes. You called out a few drivers of AOV. Can you just give a bit more color on which factors were the most important in the quarter and which you would expect to have the biggest impact going forward? And perhaps if you could just share a bit more color on HelloFresh Market and some of the KPIs around that in terms of the number of SKUs you now have there. Thanks.
Christian Gaertner: Hey, Miriam, it's Christian here. In terms of the AOV expansion from a group perspective, price impact as previously mentioned, Nizla was just shy of around about five points in the impact of effectively more recipes per order, i.e. bigger order sizes around about two points and then higher surcharges, add - ons, market, and so forth all together around about a point. And then the offset of that, i.e in the other direction is effectively mix effects and other effects in between the composition of our AOV from a group perspective.
Miriam Josiah: Great. Thanks. And then anything specifically on HelloFresh Market?
Dominik Richter: Market would be -- would have contributed with around about a point. So that's what I'm -- what markets and surcharges together, around about a point.
Miriam Josiah: Great. Thank you.
Operator: The next question is by Andrew Gwynn of BNP Paribas Exane. Your line is now open for you.
Andrew Gwynn: Good morning, team. Just come back to the point you mentioned before about testing the price elasticity. I suppose without giving the secret source away, what have you learned? Is there any sensitivity or any evidence that sensitivity is increasing as things like energy prices hit the consumer? Thank you very much.
Christian Gaertner: So, Andrew, let me you quickly comment on that. I think with any price-related measures, it's really important to measure them over the mid-term and long-term. Because as you can see from the cohort lifetime revenue chart that we showed, a lot of a cohort's revenue is actually not done in the first month or in the second month but throughout like their entire lifetime with us. So that's why a lot of the test that we do have a pretty high sensitivity as to what does this mean for long-term order rates to customers, does that mean they're ordering more often, the same, less often, if some of that happens, to what degree? So it's something that we are careful testing into it because our North Star that we want to optimize for is always that we capture as much customer lifetime value and as much customer lifetime revenue as possible. Other test that we did to what's Q4 last year and then rolled out in the U.S. in Q1 and the test that we now did in the first quarter and are sometimes slowly rolling out across our international markets have shown that elasticity during those times was lower than what we had seen before.  So we were quite confident doing the price increases but we continued to basically do more tests because the environment is obviously changing very rapidly, it's all over the press in different countries, etc. To date, we don't really see a big impact of lower consumer confidence or other things that could meaningfully drive anything lower. But the most important point for us in our framework into how we do price testing is we don't want to just look at the next months and increasing prices for new customers or existing customers, but really get together with our data science teams. A good understanding what any type of price adjustments up or down actually means for the customer lifetime revenue and customer lifetime value over a period of one, two, three years. And we are pretty good at forecasting that, but it always takes a couple of months to get very robust results on that. At the moment, very happy with what we're seeing and certainly potential to further test into.
Andrew Gwynn: Okay. Very clear. Thank you very much.
Operator: The next question is by Sarah Simon of Berenberg Bank. The line is now open for you.
Sarah Simon: My question is on market. In the U.S. where you've rolled it out, can you give us an idea of what kind of proportion of the user base has adopted market in terms of adding extra items and what the average spend beyond the box would be for those customers? So how much are they spending on market and what the proportion of the user basis that's been using it? Thanks.
Dominik Richter: So in the U.S., it's not exposed to 100% of the customer base, it's exposed in a number of our fulfillment centers. And we're now focusing the next two quarters and rolling it out to 100% of U.S. customers. Within those fulfillment centers where we are active and customers who can order our products, it's about low-teens percentage of customers taking items from our marketplace. And if they take items from our marketplace, they probably taking around $15 to $20 baskets in addition to what they spend meals with us. The caveats here, is the portfolio is still quite low or quite small. It's much smaller than what we have in Benelux. So we're talking at the moment of round about 80 to 100 products by fulfillment center. In Benelux, we're at about 400 products. So this is also why the numbers, both in terms of customer uptake, as well as baskets, would be higher in Benelux. Well, the thing, it's a positive testing grounds. And another focus is, firstly, on exposing 100% of our U.S. customer base to it, and then increasing the portfolio, and it's the portfolio's attractiveness to drive up those uptake, as well as overall spend.
Sarah Simon: That's helpful. Thanks a lot.
Operator: The next question is by Emily Johnson of Barclays. The line is now open for you.
Emily Johnson: Morning. I think Christian has alluded to this already, but my question is regarding the [Indiscernible] in Q1. I'm not sure if that was going to one-offs, for example, running going supplies of frozen proteins which were purchased in a less inflationary environment versus trends that should be extrapolated into the rest of the year, i.e. your food inflation was slightly less than expected.
Christian Gaertner: Emily, I would say the -- it's more the first measure that we managed to -- through active management, hold on to beneficial pricing for bit longer, then initially anticipate it. Obviously through active management, menu planning, and so forth, we can mitigate somewhat the impact also going forward of headland food price inflation, but we're not isolated from it completely. So to a certain degree, as food price inflation further accelerates, we're exposed to that as well.
Emily Johnson: Thank you.
Operator: The next question is by Nick Carter of Citi. The line is now open for you.
Nick Carter: Hi. Good morning. Thanks for taking my question. Would it be possible to get your sense of the outlook for customer acquisition costs from here, please? Is there any movement in your different markets as it emerged from COVID, and how you expect the CapEx to evolve over the coming quarters? And I guess I'd be particularly interested in the U.S. Thank you.
Dominik Richter: Nick, I think our main message is, we will continue to be disciplined and we don't think that there will be major changes to the level of customer acquisition costs that we forecast. We are pretty diversified spending our marketing dollars, our advertising dollars on a range of different channels, both online and offline. Some of those channels will certainly move in one direction or the other. But given our diversification between channels and also between markets, we can usually react pretty quickly to that and it's hard to take a directional view. But our view is that we will continue to be disciplined. And we'll probably see the same level of customer acquisition costs, which is very attractive, compared to the customer lifetime value that we generate. And this is what we're trying to spend against.
Nick Carter: That's helpful. Thank you.
Operator: The next question is by Victoria Petrova, Credit Suisse. The line is now open for you.
Victoria Petrova: Good morning and congratulations on your results. Within the context of your mid-term guidance, which if I haven't missed anything is still €10 billion given €2 billion per quarter in the year like that, looks pretty conservative. What are the key drivers behind your forecast apart from the fact don't want to revise it every year? And what percent of sales within this framework should be coming from your initiatives that includes market, that's includes Youfoodz and Factor and also new markets such as, for example, Japan, which you officially entered just around a week ago. Thank you very much.
Dominik Richter: Thanks, Victoria. I don't think it's given sort of like the volatility in markets, given the volatility in outlooks, etc. I don't think it's prudent to give any fairly updates on our midterm ambition, but we certainly feel good about that. You certainly feel confident about that how our reference before. Within that sort of like mid-term addition, we definitely do see some contribution of our ready-to-eat businesses, Factor, Youfoodz, which are growing very nicely. We do think there's penetration upsides in our existing markets, and there's also some parts that should be played by HelloFresh Market. I think new geographies, which was the third or fourth one that you mentioned, would presently play a lower role in that because it usually takes us about two or three years until new markets start contributing meaningfully to group revenues.  The first year is usually about finding product market fit, finding the right partners. We're starting to scale up in year 2, and then by year 3, year 4, year 5. That's really when new markets start generating significant revenues and contribute significantly to group revenues. So across those three, I think, definitely, we see very good growth momentum going forward and good contribution to our midterm targets through the ready-to-eat vertical. We continue to see good momentum around our HelloFresh marketplace, probably less than from the ready-to-eat vertical. And then a large part of it will continued to be driven by our existing markets and increasing penetration in those existing markets, especially in those markets, but will not operate, I think, since ten years, but maybe since five years or six years, where we still have a lot of penetration upside.
Operator: The next question is by Andreas Lehmann of [Indiscernible]. The line is now open for you.
Andreas Lehmann: Yes. Good morning. As you guys operated different meal kit brands, did you observe any down-trading within the group over the new portfolio or would you be able to compare the performance of the different brands in Q1? This will be my question. Thanks.
Dominik Richter: So far we haven't been able to track any downgrading of let's say, HelloFresh customers in the U.S. to become EveryPlate customers. During COVID, we had maximized our exposure to the HelloFresh brands because it's the most profitable to run for us and we have been in the most scales, and team set up, fulfillment center setup, etc. And I think now coming out of COVID, we will also continue to focus on our other brands more and more going forward as we think overall, the timing is good for them, it's still under-penetrated in the income households and target audiences that they mostly operate in. So I think going forward EveryPlate Green Chef Factor will be brands that will have probably over a three to five-year time horizon, a higher growth momentum than the HelloFresh brands, which at the moment is performing very well.
Operator: One. The next question is by Sebastian Patulea of Jefferies. The line is now open for you.
Sebastian Patulea: Good morning everyone. Thank you for the presentation. I've got a question regarding the guided €500 million in CapEx investments please. Split roughly between €300 million in capacity expansion and €200 million in automation. What percentage of that CapEx guidance is hedged fees? What's the risk of potentially needing to invest more in CapEx given prices of materials are accelerating? Thank you very much.
Christian Gaertner: Hey, Sebastian. Christian here. The line was a little bit spotty, but I think I got the question. So if I got it correctly, it was about our CapEx guidance for the year, the €450 million to €550 million, if there's risk of that increasing because of input price inflation. So on that, our guidance is staying effectively with that range. There is certainly a bit of pressure on some of the material inputs. I would say overall, we managed to contain it to the levels that we have targeted. As a part of that was priced in, already part of it, and we also locked effectively in contract or as a bit of headwind, but not to the extent that would mean we both need to shift that overall CapEx guidance upwards.
Sebastian Patulea: May I please follow-up? And sorry if it's patchy. Is the guidance fully unhedged, the CapEx guidance or is there a particular proportion of it that it's hedged?
Christian Gaertner: Hedged, in a sense where you're -- where you say that we're exposed to underlying materials price inflation, I would say the majority of what goes into that capacity of expansion CapEx is effectively locked-in from a pricing perspective.
Sebastian Patulea: That was it. Thank you very, very much.
Christian Gaertner: Sure.
Operator: The next question is by Adrian [Indiscernible] of Bank of America. Your line is now open for you.
Unidentified Analyst: Yes. Good morning, everyone. A couple of quick questions, if that's okay. You gave us some trends, but can you be more specific around your expectations for active customers in Q2 and for full year '22 given that Q1 was ahead of your expectations? Secondly, in the U.S., can you discuss the growth rates across your different product lines between Factor75, Green Chef, the core HelloFresh brands? And maybe your last question, if I just may. Can you discuss your latest thoughts on any opportunity for partnership with on-demand grocery players? Is there anything that you see of interest here to develop maybe Factor75 in the U.S.? Thank you so much.
Christian Gaertner: Hey, Adrian, Christian here. Let me take the first one on active customers for Q2. This case for us is that this is sequentially touched on versus the number we just reported for Q1. So let's say round about -- and again, with the caveat we're still at the beginning, pretty much at the beginning of that quarter, round about 100 to 300 came lower than what we just came out with for Q1, i.e. if you plan with active customers for Q2 of round about $8.2 million to $8.4 million, that fore pack, that's all that we are targeting. Maybe to also touch on the other key KPIs then for Q2 when we're on the subject, that order rate probably stables sequentially versus Q1 and average order value, we would target a slight sequential uplift versus Q1 and added effectively the product of all of that would mean we're targeting roughly a similar revenue level for Q2 as we've just published for Q1 earlier.
Operator: And no further question -- I'm sorry.
Dominik Richter: I think there was a follow-up question. On the U.S. brand, Factor has been developing very strongly, obviously coming from a low base. But this is a vertical that we strongly believe in and that has seen a very good year-over-year growth. Green Chef, we have been a little capacity constraint. Hopefully in the second half of the year, we will be able to grow Green Chef a lot more. EveryPlate has been developing slightly faster than the group's average, and HelloFresh probably like a little bit lower than what we showed as growth rates for the whole segment.
Unidentified Analyst: Thank you so much, Dominik. Do you want to address the point about the on-demand grocery partnership?
Dominik Richter: No plans as of yet.
Unidentified Analyst: Okay.
Operator: There are no further questions, and so I hand it back to you.
Dominik Richter: Thank you, everyone for attending our first quarter earnings call. I think overall especially focused on the midterm, we're very excited. Customers ordering more than they have ever with us. A very strong quarter, I think, but even the underlying KPIs more impressive. And if you look at the product road map that we have for the rest of the year, I think we're very bullish about that, that we can really go back to innovating at very high pace on our customers behalf. And thus, building out our proposition when it comes to affordability, when it comes to variety, when it comes to taste, that we can build that out really well. And I think this will be a major driver of our growth going forward. And with that, I'll leave you to it. Thank you for attending, and speak to you around -- about our Q2 results in summer. Thank you. Bye-bye.
Operator: Ladies and gentlemen,